Operator: Good morning. My name is Rob and I will be your conference operator today. At this time, I would like to welcome everyone to the Agnico Eagle Second Quarter 2019 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Sean Boyd, you may begin your conference.
Sean Boyd: Thank you, operator, and good morning, everyone, and welcome to our second quarter 2019 conference call. Just to note that this presentation does include some future-looking statements. So there is some material in there that outlines the disclosures and the cautionary statements around forward-looking statements. When we look at the quarter and step back, we're strongly positioned to deliver a strong second half. We expect record production in 2019, again with much stronger operating and financial performance anticipated in the second half is -- and as we go forward into 2020, we would anticipate further growth in production, as we ramp up our two new operations in Nunavut. In the second half of the year, we also expect a decline in our capital spend. In the first half, we spent about $414 million. Based on our forecast, we anticipate in the second half spending a little over $330 million. So combined that decline in CapEx spending with a stronger cash-generating business with the growth in production, we're in a strong position to generate a free cash flow in the second half of this year. Overall, as we move forward, the emphasis will continue to be on moving at a measured pace with steady growth in gold production on a per share basis and also cash flow on a per share basis. Just looking at the second quarter highlights. As we said, a solid result from an operating and financial standpoint, we produced a little over 400,000 ounces of which 32,000 ounces were pre-commercial production ounces at the two Nunavut projects, our cost per ounce a little over $650 on the ounces that excluded the pre-commercial ounces. So good solid performance. The Meliadine mine, as we announced in May, achieved commercial production ahead of schedule. It's produced pre-commercial production ounces of 47,000 ounces prior to May the 14th. The total costs of Meliadine were about $830 million. So that's a project that was not only ahead of schedule, but also below the forecast of $900 million in capital. So we're continuing to ramp up at Meliadine and our production guidance for 2019 is unchanged at approximately 230,000 ounces, including the pre-commercial production ounces. At Amaruq, we're on track for commercial production in Q3. It's a bit of a slower ramp-up from a mining perspective than we expected, due to a thicker thaw and some -- more rain than we anticipated. So we had to expand dewatering activities and we had a bit longer a careful migration period than expected. But despite that, the overall production coming out of the Meadowbank complex, which includes Meadowbank and also includes Amaruq, that remains unchanged at 230,000 ounces. So the shortfall at Amaruq is made up by additional ounces coming out of the Portage pit at Meadowbank. Overall, our production guidance, as we said, is maintained for the full year 2019 at 1.75 million ounces at all-in sustaining costs in the range of $875 to $925 and cash costs range remains unchanged between $620 million and $670 per ounce. Our estimate for capital spend in 2019 has gone up to $750 million from $660 million. That was made up largely by lower pre-commercial production gold sales at Meliadine and that had an impact of increasing the capital by $36 million. So that's interesting. If we had the expected pre-commercial production ounces, if it didn't start earlier the total CapEx would have been closer to $800 million than $830 million. We also decided to spend more on-ramp development and drilling at Amaruq based on exploration results to better position the underground project. And we also had – we're in receipt of a permit to just discharge of saline water and we have advanced our spending on the treatment plant there to take advantage of the earlier of permit. So that's a good summary of the second quarter. And again, we declared a quarterly dividend of $0.0125 per share. From an exploration perspective, we continue to get good results, which positions our project pipeline in a number of areas at Amaruq. As we said, we've decided to accelerate the ramp program spend additional capital this year. That's due to continued good results there particularly in the area between Whale Tail and the V Zones. We started drilling from the ramp in June. So that will accelerate our ability to convert our resources and reserves in the lower part of the mine. At Meliadine, our drilling there has discovered two new loads – two new zones north of the TirigaNiaq mineralization. So we have always anticipated that Meliadine would grow in size as we started production and resume acceleration there which we did a few quarters ago. And in this most recent quarter, we've intersected the deepest reported Intercept at Meliadine to date. So we continue to expand the non-mineralized envelope at Meliadine. At Kittila, we're getting good grades and good whips at the Rimpi zone and at Santa Gertrudis we continue to extend the high-grade mineralization at the Amelia Deposit. From an operating results perspective, good solid performance as we said producing a little over 400,000 ounces in the quarter. Excellent performance coming out of the Abitibi despite a planned shutdown at LaRonde, the Abitibi mines LaRonde LaRonde Zone 5 Goldex and Canadian Malartic produced a little over 200,000 ounces at a weighted average cost – cash cost of $578. So continued good production cost performance and cash generating coming out of our Abitibi mines. As we said, we're ramping up Meliadine we had production in the quarter of 61,000 ounces. And in Mexico, we've got good results coming out of that operation with cash costs below $600 producing 80,000 ounces. So good operating margin. And if we look at our guidance based on how we ended the first half of the year at 810,000 ounces. It's still roughly that sort of 45%, 46% first half roughly 54%, 55% second half production. So that sets us up for moving away from sort of an average over the last few years on a quarterly basis of 400,000 ounces to a number that's closer to 500,000 ounces that's what's going to drive cash flow and earnings. Looking at the earnings and cash flow, as we said, we expect a stronger performance in the second half. In the quarter, we had better net income and earnings than the prior year. And that was largely due to lower amortization lower taxes higher gold prices partially offset by lower gold sales, when you exclude the pre-commercial ounces coming out of Nunavut. From a financial position standpoint, we closed the quarter with a fully undrawn credit facility. So still good liquidity entering a period where we expect to generate free cash flow. In fact, as we said our CapEx will decline in the second half versus the first half. So the focus as we move forward and as we generate free cash flow will be to reduce the debt, increase the dividend while we continue to invest in our project pipeline. And in the quarter our investment-grade credit rating was reaffirmed with a positive trend. So another good sign. We'll run through the assets quickly, and then we'll open it up for questions. At LaRonde, we had a planned shutdown but the mine still produced almost 80,000 ounces at a cash cost of close to $500 an ounce. So, good performance coming out of LaRonde, and also at LZ 5 good performance, we're seeing higher grades and throughput coming out of that operation. And we continue to evaluate scenarios at LZ 5 to potentially go after down plunge extensions of the LZ 5 deposit. And so we're reviewing our alternatives to potentially get those additional ounces into our mine plan to take advantage of capacity at the LaRonde complex. And as you know we're using the LZ 5 operation to test our autonomous mining equipment and we continue to make good progress with those assets. Canadian Malartic continued steady performer quarter-after-quarter. It hit a quarterly mill throughput record of 58,000 tonnes per day, things are progressing as planned on the Barnat extension. It's on budget. It's on schedule. We expect to start production activities late 2019 at Barnat, and we continue an active exploration program, and the underground at below the pit. Canadian Malartic going after several zones there and we continue to evaluate. We do have a permit for a ramp. And we continue to evaluate our options to go underground and continue that exploration program. Goldex had a very strong quarter. We've got much better productivity coming out of the rail there through their system. We milled over 8,000 tonnes a day in the quarter. That was up about 14% from the year earlier and that's resulted in improved cost per tonne performance and also improved cash cost performance. We continue to mine in the South Zone and the stopes that we mined to-date, although not a big zone. It does have higher grades. And we get slightly better grades than we're expecting in those zones. We continue to evaluate the potential in the South Zone area potentially to get additional incremental ore feed from that area and we continue to drill the Deep 2 zone in the quarter, because there is a good opportunity to extend the life of Goldex by mining deeper non-deposit. At Meadowbank, we talked a bit about this at the start, but Meadowbank we've been able to extend into the third quarter through additional mining at the Portage pit, which gives us additional ounces into the 30,000 ounce range, which offsets the slight decline and expected production coming out of Amaruq to keep the total Meadowbank complex on track to achieve its guidance. In the quarter, as expected we saw tonnes milled down as we mined out the remaining part of the ore body. Cost per tonne was slightly lower. So they continue to get good cost performance even though tonnage was down. The degrades declined about 25%. Again that's consistent and as expected as we mined out the remaining parts of that ore body. The cash costs are a bit higher given the grades are down and production is down a bit, but we're still generating good cash as we optimize the end of the Meadowbank mine life. At Amaruq, as we mentioned at the start, we had more rain than we normally see in that period as we were starting that operation. We had a much quicker thought. So that impacted our ability to get at our mining areas in the pit. And so we also were impacted as we said by all of our longer than expected migration period with the cargo in the area. We should be through the dewatering probably in September as we continue -- we're continuing to mine, but it's more difficult to mine when we are still pumping water at parts of the pit at Amaruq. As we said production guidance for the Meadowbank complex remains the same. Our CapEx we're estimating somewhere in the $350 million to $370 million range. That will depend exactly on the date of commercial production and how many pre-commercial production ounces get credited against capital. In fact, as we said when you add up the expected capital at Amaruq with the $830 million at Meliadine when you add the two projects together they come in slightly below our total estimated spend to build both projects in Nunavut. So it is a real success story there when you think about it. In an area that's challenged by infrastructure we were able to bring two projects online one ahead of schedule, one roughly on schedule. With a combined spend that's slightly below the original CapEx estimate. So congratulations to the team there. And as we said, we continue to get good exploration results and that's really driving our desire to move forward and accelerate the ramp develop and accelerate some drilling, so that we can get an underground into production sometime in 2022. At Meliadine, we're ramping up production. As we said, ramping up the mining rate. We've had the mill pushed up to 3,900 tonnes a day. So we continue to ramp up to our nameplate of 3,750 tonnes a day. Recoveries are slightly below what we anticipated. We're working on several areas within the plant to get those recoveries up to where we anticipated them to be. We don't expect any major issues there. We see no major fatal flaws. And as we said at the start, production guidance remains unchanged at 230,000 ounces. And I'll just stop now and remind everybody that we do have a site visit to both Meliadine and Amaruq on August 19 and 20. I know several of you on the calls have signed up for that trip. If there's others that have not had the opportunity to sign up and would like to go please contact Brian or Rhea in our office to get on that trip. So we look forward to seeing all of you there. At Tesla, we had roughly a 60-day planned shutdown to realign the auto play. We do that every five or six years. The last time was 2013 that went as planned. We still managed to produce 20,000 ounces. So that was a little bit better than we had expected. So good performance at a Kittila and the shaft project and the project on expanding the plant are going along as expected. This will wrap up before we take questions on the southern business as we said, good performance in terms of cash generation coming out of the southern business. Combined the three mines are producing about 80,000 ounces, good cost performance, so good cash generation. The focus at Pinos Altos is on satellite zones Cubiro and Sinter will continue to get good results. Creston Mascota, we expected to be finished by the end of this year, but they had an exceptional Q2 good solid performance producing probably double the ounces that we expected them to produce there due to some higher grades. We would expect second half production to be lower, but still for the full-year, we expect Creston Mascota to be above guidance. And that La India, we continue to drill satellite deposits Chipriona and El Realito and those deposits are growing as we drill them. We would anticipate that those deposits would allow us to extend the mine life at La India. So before I open it up operator for questions, I just want to thank a couple of people. I want to thank Alain Blackburn who is passing the torch over to Guy Gosselin, he's sort of right-hand man and Protege for a long, long time. And Alain is a very quiet, but extremely successful exploration Geologist who has been involved in a number of discoveries and is a huge part of our success here at Agnico. He's not going far though. He's going to stay with us till the end of the year as a strategic advisor as an officer of the company. And then as we go into 2020 Alain is going to continue to work with us as a consultant. So we can use and benefit from his expertise on strategic issues related to exploration and project evaluation. So thank you Alain who's in the room here for all of your contribution to Agnico and congratulations to Guy well-earned promotion. Guy brings a lot of energy and passion was also involved with Alain in some of these key discoveries. So the team looks forward to working over the next several years with Guy. And we also like to thank Christian Provencher who is also not going too far. He is going to take a one-year sabbatical and come back at some point. And his replacement is Daniel Pare. So Daniel Pare as you know has been with us for a number of years. Mine Manager at Goldex General Manager at LaRonde has also done some work with here at the corporate level in corporate development and Investor Relations. So also well-deserved promotions. So, thank you Christian and enjoy your year off, don't have too much fun. We expect you back in a year and congratulations to Daniel. So, operator, I'd like to open the line up for questions if we can.
Operator: [Operator Instructions] And your first question comes from the line of Fahad Tariq from Credit Suisse. Your line is open.
Fahad Tariq: Hi, good morning. Thanks for taking my question. On Meadowbank is there a potential to extend the mining into Q4 even whether it's the Portage pit or some other deposits? And what does the cost profile look like for Q3 2019 at Meadowbank? Thanks.
Yvon Sylvestre: This is Yvon here. We will not extend past Q3. Portage will finish mining at that point. As far as Q -- as far as cost numbers, we'd have to get back to you. And I don't want to have that fresh in my head.
Fahad Tariq: Okay. And just as a follow-up so it looks like the Portage pit that added on to the Meadowbank or production for the year which offset the lower Amaruq. When was this like when was the decision made to mine this was as always part of the plan? Or was the only when Amaruq was delayed?
Yvon Sylvestre: No, the pushback in Portage have been planned in sequence over the last almost two years actually. And this latest pushback also came with some wall stability issues that we also took and by doing a lot of bit stripping last year. So, all of this was planned. We've had a little bit -- part of the surprise on the grade that's come from Portage itself with better grades, but mostly also better grade from the surface stockpile. So, we're out there.
Fahad Tariq: Okay. Thank you.
Operator: And your next question comes from the line of Mike Parkin from National Bank.
Mike Parkin: Thanks guys. Congrats on a good quarter. Just had a follow-up on that next awards. You mentioned that you've got the permit to this -- deposit Amaruq tailings into the old pits of Meadowbank potential to save on sustaining capital. I was looking if you could give us any kind of color in terms of what that could be in terms of annual savings on the sustaining CapEx?
Yvon Sylvestre: Well, I think it was more -- at this stage, it's more a saving on Amaruq project costs in general because the -- at this stage we're at with the current tailings we're allowed to do about two more two more raises per year. Each raises are typically minimum of $4 million to $5 million where we would have reached very quickly the capacity of the current areas. And we would have likely had to build a new area and permit a new area and that would have been quite expensive. So, that's the -- I think the what we refer to in the savings it's mostly around that. There's also a pretty sizable benefit and opportunities around optimizing our closure plan by using the pit and we are delaying some of the closure cost overall in the site. So, those are mostly -- it's hard to put a number to this at this stage but it's mostly related to these factors that I just enumerated.
Mike Parkin: And do you have a sense that the open pit poll on the ground has more than enough capacity from what you're thinking in terms of processing at Amaruq at this point? And is that two time capacity?
Yvon Sylvestre: Both pits Santa Gertrudis and Portage will greatly exceed the current knowledge of resource that we have on the project at this stage.
Mike Parkin: Great. All right, that's it for me guys. Thanks so much.
Operator: [Operator Instructions] And your next question comes from the line of Anita Soni from CIBC. Your line is open.
Anita Soni: Good morning guys. I just have a question with regards to Amaruq looking forward into 2020. So, it looks like given the production shortfall being made up by Meadowbank of about I would guess 30,000 to 40,000 ounces. Do you expect that to be made up whether in 2020? Or would there be any additional ongoing impact? That is to say the guidance that you have for next year of about 2.70 at Amaruq, is that still solid?
Yvon Sylvestre: Well, I think it's safe at this stage. We do -- we'll be going into our budget exercise and we'll review the mine plan as to where we're at but at this stage we're pretty comfortable with next year's guidance.
Anita Soni: Okay. And then just a quick question on the LaRonde zinc grades. So those are pretty good grades this quarter. I'm just wondering is that sustainable? Or was that a one-time blip? I think it was double the guidance that you had for the year.
Yvon Sylvestre: You'll see some areas mostly in the western pyramid I believe that we've encountered some stone -- some stopes in fringe areas where the zinc rate has been in the 3% to 4% range. So when these stopes appeared a plan like we are currently appearing in July. So you'll continue to see some of that, but don't take it as granted that this is a life of mine issue. It's more of a local area at this stage.
Anita Soni: Okay. And lastly on LaRonde costs, they were rather high this quarter. Was that related solely to the shutdown? Or are there any issues that are -- that we should be aware about moving forward with that?
Yvon Sylvestre: No. The shutdown was basically unplanned in the sense that we needed to rehabilitate the ore handling system. The daily tonnage from the mine was significantly lower because of that. And that was the main cause of the cost per tonne. I think going forward I think we can expect to go back to guidance levels on the cost structure.
Anita Soni: All right. Thank you so much.
Operator: And your next question comes from the line of Carey MacRury from Canaccord. Your line is open.
Carey MacRury: Hi. I just had a question on Meliadine. Just wondering what the mining rate was in the quarter? And how you expect that trend over the balance of the year?
Yvon Sylvestre: I don't have the exact number of what the mine rate was in the quarter at this stage. We're mining roughly about 90,000 tonnes per month. And we're expecting to ramp up further over the next quarters where we expect it to add a fourth mining horizon probably in September, and I will push the daily tonnage from the mine to somewhere around 3,250 tonnes, 3,300 tonnes going forward for the rest of the year.
Carey MacRury: Okay. Great. Thank you.
Operator: And your next question comes from the line of Tanya Jakusconek from Scotiabank. Your line is open.
Tanya Jakusconek: Great. Good morning everybody. Just have some technical questions maybe for Yvon, if we can come back to Amaruq. Just wanted to ask on the -- just on the critical path that from now until we start to the commercial production, is it just the dewatering. I mean, the trucks, I guess, you have another set coming on a barge, but is it just the dewatering and the stripping? I'm just trying to understand what's left?
Yvon Sylvestre: Yeah. Well, dewatering is the portion of it. We've had delays in getting the second half of the pit dewatered. That is underway. It will be done by mid-September. This has had some impact to some of the current mining areas. And the big issue at this stage has been mostly footprint and the inability to bring up total broken inventory in a pit. So as the pit areas are getting dry now, we'll focus on bringing up that inventory. So over the next six months, we'll ramp up from a daily rate of were about 45,000 tonnes per day now to probably around 90,000 tonnes per day for the rest of the year. So it's really the inventory. And the second hurdle rate is, you're right about the long-haul trucks. We have several of them that have been delivered. They will be commissioning of that the remaining units will be most of the main reasons around the challenges, I guess, for the rest of the year.
Tanya Jakusconek: Okay. And so I got it then Yvon we won't have a stockpile to start or as we put through the mill.
Yvon Sylvestre: We'll have some stockpile at this stage. And the ramp-up curve or the ramp-up flexibility will be further validated in Q2, Q3. But after commercial production at this stage, our planning is currently showing that we will have stockpile on hand.
Tanya Jakusconek: Do you know what size of the stockpile you're anticipating to have for start-up?
Yvon Sylvestre: I won't go into numbers at this stage.
Tanya Jakusconek: Okay. But there will be some sort of stockpile?
Yvon Sylvestre: Correct.
Tanya Jakusconek: And then just on the underground, the decision to go ahead would be made at the same time in February of 2020 when you put out all of the details.
Yvon Sylvestre: Correct. Yeah. We've sort of -- with the exploration results so far at this stage, we're confident enough to accelerate a bit the development. We've also started the underground exploration program -- the drilling program from underground, as we continue also drilling from surface. And we're finalizing the details on the mining plan part.
Tanya Jakusconek: Okay. And then maybe just on Meliadine, Yvon. Just on pyrrhotite and what -- in terms of improving the production -- sorry -- the recovery there in terms of being able to get the blending done. How is that looking in terms of how it goes through for the rest of the year? Are you going to have enough stopes open to start blending?
Yvon Sylvestre: Yeah. I think the broken inventory as we're operating now currently in July is about anywhere between 30,000 to 50,000 tons per tons underground. Several stopes that are in the making stage, so we have that flexibility now. I think as we've processed more siliceous stopes in the early portion, we've had several months that recovery was in the high 95s. Once we start introducing some of the higher grade pyrrhotite stopes, we've had more challenges with those. So we're in the process of adapting the ground, because the plant has got quite a lot of capacity. So, we will over grind some of these sulfide zones that have created some chemical issues in the plant and we were sort of tight on reagents. So, we've held off a bit on higher grade stopes, and we're going to proceed moving forward as we've received -- made modifications to the grinding area and they receive reagents to optimize further. So, we're okay on this work.
Tanya Jakusconek: Okay. And then just maybe one last question just on the spend. I think, Sean, you mentioned there's another $330 million to go for the second half of the year. I haven't had a chance to go through everything. What's left to be spent at Amaruq?
Sean Boyd: I'll have to get back to you, Tanya, on that part. I don't know the exact number at this stage.
Tanya Jakusconek: Okay. And then maybe if -- just another financial question. Just on the working capital adjustments, we've had quite a bit of outflow in the first half of the year. Do we start seeing the working capital adjustment reverse in the second half, how do you see that playing out?
Yvon Sylvestre: All right. Yeah. Tanya, it's obviously very volatile. Pretty hard to predict and this particular quarter we had a large buildup of accounts payable. Obviously, we're going to run that down during the quarter. But it's too hard for me to predict. In fact, when I looked at it years ago, I decided to model it in our financial scenarios as zero, because it was just a positive, negative, positive, negative. So, I can't give you a real answer. Sorry.
Tanya Jakusconek: Okay. All right. So, maybe just the capital spend left that Amaruq would be great. Thank you. 
Sean Boyd: Tanya, just on the stockpile at Amaruq, it's around -- at the end of the quarter, it's around 290,000 tons. And it's a grade of about 3.5 grams. So, the decision was made to run Portage not run that. We'd rather start running that as we get through Portage and get more flexibility in the mining plan as we dewater the pit and open up new areas in the pit.
Tanya Jakusconek: Yeah. It was more than anything it's just the flexibility, Sean, that if we were to have other weather issues whether we have a stockpile that we could start them out?
Sean Boyd: Yeah. We can. And so we could start that up now and get to commercial production earlier, but that really doesn't do much for us.
Tanya Jakusconek: Yeah. 
Sean Boyd: So, we're just trying to build in flexibility in the plan.
Tanya Jakusconek: Yeah. No, I appreciate that. Thank you.
Operator: And there are no further questions at this time. I will turn the call back over to Mr. Sean Boyd for some closing remarks.
Sean Boyd: Thank you, operator and thank you everyone for participating in the call. And again, if you would like to attend our site visit in August, please reach out to us. Thanks again.
Operator: This concludes today's conference call. You may now disconnect.